Operator: Good day, everyone, and welcome to today's SLR Investment Corp. First Quarter 2024 Earnings Call. [Operator Instructions] It is now my pleasure to turn today's call over to Chairman and Co-CEO, Michael Gross. Please go ahead. 
Michael Gross: Thank you very much, and good morning. Welcome to SLR Investor Corp.'s earnings call for the fiscal quarter ended March 31, 2024. I'm joined today by my long-term partner of 17-plus years Bruce Spohler, Co-Chief Executive Officer and our Chief Financial Officer, Shiraz Kajee; and the Solar Investors Relations team. Shiraz, you begin, could you please start by covering the webcast and forward-looking statements. 
Shiraz Kajee: Thank you, Michael. Good morning, everyone. I would like to remind everyone that today's call and webcast are being recorded. Please note that they are the property of SLR Ivestment Corp and any untied broadcast in any form is strictly prohibited. This conference call is also being webcast on the Events county in the Investors section on our website at www.slrinvestmentcorp.com. Audio replays of this call will be made available later today as disclosed in our May 8 earnings press release. I would also like to call your attention to the customary disclosures in our press release regarding forward-looking statements. Today's conference call and webcast may include forward-looking statements and projections. These statements are not guarantees of our future performance or financial results and involve a number of risks and uncertainties. Past performance is not indicative of future results. Actual results may differ materially as a result of a number of factors, including those described from time to time in our filings with the SEC. We do not undertake to update any forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or call us at 212-993-1670. At this time, I'd like to turn the call back over to our Chairman and Co-CEO, Michael Gross. 
Michael Gross: Thank you, Shiraz, and again, thank you to everyone for joining our earnings call this morning. After the market closed yesterday, SLRC reported net investment income of $0.44 per share in the first quarter of 2024, representing year-over-year growth of 7.7%. First quarter results marked the sixth consecutive quarter of NII per share meeting or exceeding the quarterly dividend and contributed to an increase in net asset value per share to $18.19 as of March 31, 2024, from $18.09 per share at December 31, a sequential increase of 0.6%. Despite a continuation of tepid M&A activity in the first quarter, the further strengthening in bank participation in the BSL market and recovery in the CLO issuance, we continue to find attractive investment opportunities across our complementary private credit strategies of sponsor finance and specialty finance. In the first quarter, we originated new investments of approximately $261 million and received repayments of approximately $314 million that resulted in a slight decline in the comprehensive investment portfolio to $3.1 billion. SLR is one of a handful of private credit managers that have been in existence since before the great financial crisis, and we have the experience and strong track record of navigating a variety of market environments across credit cycles over a 20-year history.   The cyclicality of the sponsored finance markets, which can be governed by the ebbs and flows of the more markets is a condition that is not new to us as private credit investors. In fact, it is this condition that led us to diversify our investments away from strictly cashflow lending more than a decade ago their expansion to asset-based lending in 2012. Since then, SLRC has added several commercial finance teams to expand our investment strategies, resulting in a more diverse private credit investment model. Our multi-strategy approach to private credit investing was on display in the first quarter as the very attractive lending friendly conditions that existed in 2023 in Sponsor Finance solvent. Originations of $220 million from SLRC specialty finance investment verticals of asset-based lending, life sciences lending and equipment finance represented approximately 88% of total originations in the quarter. Said another way, only 20% of our first quarter originations were sponsor finance, a sharp reversal of last year's trend where sponsor finance originations comprised close to half of total originations in the first quarter of 2023. While we expect the 2020 vintage for Sponsor Finance investments to be very strong for both us and the private credit industry more broadly, our flexible investment mandate allows us to shift to areas of less competition on which currently exists in the sponsor finance market.   Management teams and sponsors are increasingly exploring ways to raise new capital to support owning assets over a longer time frame to execute their business plan. This has resulted in an increasing opportunity for asset-based loans and liquidity solutions as middle market companies grape with both lower free cash flow and tighter working capital. ABL originations were more than $50 million in the quarter. Post quarter end, we have closed some attractive new ABL investments and have a strong pipeline of ABL investment opportunities. We've also started to see some green shoots in the life science market following a period of muted transaction activity in 2023. In the first quarter, we originated $24 million via both new deals and DDTL draws based on borrowers hitting certain performance milestones. This Seritage activity exceeded originations for the first half of 2023. Equity valuations for both private and public life science companies have begun to stabilize, with credit investment opportunities continuing to improve. In equipment finance, the transition from banks to nonbanks continues to rapidly evolve, and our team's deep industry expertise across a wide range of equipment solutions allows us to be a solution provider for both big and small companies. We continue to be pleased with the construction, quality and performance of our portfolio.   At quarter end, approximately 98% of our comprehensive investment portfolio was comprised of first lien senior secured loans. SLRs long-standing focus on first lien loans has resulted in a portfolio which we believe is more conservatively positioned and better equipped to withstand persistent inflationary pressures and high interest rates than portfolios with second lien and broader cyclical exposure. As of March 31, our investments in nonaccrual represented 0.8% and 0.6% of the investment portfolio on a cost and fair value basis, respectively. We believe our low rate of nonaccruals relative to the BDC sector is a result of our multi-strategy approach to our specialty finance strategies, which accounted for 75% of our comprehensive portfolio at March 31, enable us to be more selective in our Sponsor Finance investments. In Sponsor Finance, the average EBITDA and revenue growth continues to be positive for our portfolio companies. Overall, they have successfully managed the transition to an environment with higher cost of capital and inflation. The weighted average interest coverage on our sponsored finance loans has held steady at approximately 1.7x. Additionally and importantly, only 1.8% and of our first quarter gross income is in the form of capitalized PIK income from cash flow borrowers resulting from amendments.   We believe these healthy metrics are the result of our focus on Sponsor Finance on recession-resilient industries with high recurring free cash flow, such as health care, business and financial services. The credit quality of our specialty finance investments continue to be solid with attractive LTVs that have meaningful collateral support and borrowing base structures. With the refinancing market open only to the best credits, sponsors are now focused on the remainder of their portfolios, it is higher for longer rate environment. While we are optimistic that M&A will increase in the back half of the year, current activity remains centered on DTL draws and amended extends, which we are addressing very prudently. At March 31, including available credit capacity at SSLP and our specialty finance portfolio companies, we have approximately $800 million of available capital to deploy. From our seat today, we think SLRC is in a favorable position to take advantage of our -- either continued durable economic conditions or soften economy. I'll turn the call now back over to Shiraz to take you through the first quarter financial highlights. 
Shiraz Kajee: Thank you, Michael. SLR investment corporate net asset value at March 31, 2024, was $992 million or $18.19 per share compared to $987 million or $18.09 per share at December 31. The quarter end, SLRC's on balance sheet investment portfolio had a fair market value of approximately $2.1 billion and 145 portfolio companies across 41 industries compared to a fair market value of $0.2 billion in 151 portfolio companies across 43 industries at December 31. At March 31, the company had approximately $1.2 billion of debt outstanding with leverage of 1.16x net debt to equity. We expect our leverage ratio to remain in the middle of our target leverage range of 0.9 to 1.25x. SLRC's funding profile is in a strong position to continue to weather the current interest rate environment. Our existing $470 million of senior unsecured fixed notes have a weighted average annual interest rate of only 3.8%. And we expect to opportunistically access the investment-grade debt market and are always a dialogue with investors in the fixed income community.   Moving to the P&L. For the 3 months ended March 31, gross investment income totaled $58.1 million versus $59.8 million for the 3 months ended December 31. Net expenses totaled $34.2 million for the 3 months ended March 31. This compares to $35.9 million for the prior quarter. Accordingly, the company's and investment income for the 3 months ended March 31, 2024, totaled $23.9 million or $0.44 per average share, the same as the prior quarter. Total line, the company had net realized and unrealized gains for the first quarter totaling $4 million versus a net realized and unrealized loss of $0.3 million for the fourth quarter of 2023. As a result, the company had a net increase in net assets resulting from operations of $27.9 million for the 3 months ended March 31 compared to a net increase of $23.6 million for the 3 months ended December 31, 2023. On May 8, the Board of value declared a Q2 2024 distribution of $0.41 per share payable on June 27, 2024, to holders of record as of June 13, 2024. With that, I'll turn the call over to our co-CEO, Bruce Spohler. 
Bruce Spohler: Thank you, Shiraz. We believe that SLRC's commercial finance investment model provides us with the flexibility and capabilities to capitalize on the most attractive lending opportunities across our 4 private credit investment strategies. This diversity provides us with the flexibility to determine where we want to invest today and importantly, the ability to say no. We take a fundamental bottom-up approach to our portfolio construction based on the relative attractiveness or risk-adjusted returns across our investment verticals. At quarter end, on a fair value basis, the comprehensive portfolio consisted of $3.1 billion of senior secured loans to approximately 800 distinct borrowers. This was across 110 industries with $3.8 million as our average position. Measured at fair value, 99.3% of the portfolio consisted of senior secured loans with 97.8% invested in first lien loans, including investments in the SSLP attributable to the company and only 0.3% was invested in second lien cash flow loans with the remaining portfolio invested in second lien asset-based loans aggregating 1.2%. Our specialty finance investments account for approximately 75% of our comprehensive portfolio with the remaining 25% invested in senior secured cash flow loans to upper mid-market sponsor-backed companies.   We believe that this defensive portfolio construction positions us well for potential economic weakness and provides a differentiated risk return profile for our shareholders compared to cash flow only portfolios. At quarter end, our weighted average asset level yield was 11.8%, up from 11.6% in the prior quarter. Our portfolio credit quality remains strong. At March 31, the weighted average investment risk rating of our portfolio was just under 2 based on our 1 to 4 risk rating scale with 1 representing the least amount of risk. Consistent with last quarter, over 97% of the portfolio is rated at 2 or higher and 99.2% of the portfolio on a cost basis and 99.4% on fair value were performing with only 2 investments on nonaccrual. Now let me turn to our 4 investment strategies. Sponsor Finance or cash flow lending. In our Sponsor Finance business, we originated first lien senior secured loans to upper mid-market companies in noncyclical industries, such as health care, business services and financial services, which has helped us mitigate the impact from cyclical economic factors.   At quarter end, our Sponsor Finance cash flow portfolio was approximately $750 million, which includes loans in the SSLP attributable to the company. Which invested across 48 distinct borrowers. With approximately 99% of this cash flow portfolio invested in first lien loans, we believe our investments are well positioned to withstand liquidity pressures that borrowers may face in today's environment. Additionally, we believe we have a defensively positioned portfolio. Our cash flow borrowers have a weighted average EBITDA of approximately $125 million carry low LTVs of approximately 40% and interest coverage of approximately 1.7x, consistent with last quarter. Our portfolio is comprised of businesses that perform essential services with either recurring or reoccurring revenues and have low capital intensity. Overall, our portfolio has exhibited solid credit metrics that have remained steady throughout this year. During the quarter, we originated $33 million of cash flow loans and experienced a of $16 million. Our first quarter investments, all of which were first lien have an average yield to expected maturity of 12.2% and leverage through our investment of 3.8x. Importantly, this leverage level is less than historical average for new issues. As Michael mentioned, Sponsor Finance deal flow continues to be muted due to lower M&A volume. However, there are pockets in our defensive industries to invest on an attractive risk-adjusted basis. At quarter end, the weighted average cash flow yield was just under 12%.   Now let me turn to our ABL segment. In the wake of the U.S. regional banking crisis last spring, the opportunity set for all of our ABL businesses has increased. As lending standards tightened at commercial banks, we saw an increase in ABL to flow. As a result, we were able to originate several attractive new investments. As new entrants with less experience have entered the space, we've remained committed to our high underwriting standards in which we focus on the quality of the underlying collateral when determining acceptable loan-to-value lending ratios. The increase in our deal volume is enabling us to remain attractive active while being extremely selective. At quarter end, our ABL portfolio totaled $930 million, representing 30% of our total portfolio and was invested in 166 different borrowers. The weighted average asset level yield was 15.7% compared to 14.5% in the prior quarter. For the first quarter, we had $53 million of new investments and repayments of $103 million across our ABL strategies.   Now let me touch on Equipment Finance. At quarter end, this portfolio totaled $1 billion, representing 1/3 of our total portfolio and was highly diversified across 550 borrowers. The credit profile of this portfolio continues to be solid. The weighted average asset level yield was approximately 8%. During this quarter, we originated approximately $150 million of new investments and had repayments of approximately $143 million. Our investment pipeline has expanded in conjunction with the disruption caused by last year's regional bank failures. Finally, let me touch on Life Sciences. At quarter end, this portfolio totaled $338 million. Over 80% of our portfolio at par is invested in loans to borrowers that have over 12 months of cash runway. Additionally, all of our life science companies are generating revenue with at least 1 product in the commercialization stage. This significantly derisks our underlying investment. Life Science loans represented 11% of the portfolio and contributed over 22% of our gross investment income for the quarter. During the first quarter, the team funded $24 million of new investments and had repayments of $52 million. At quarter end, the weighted average yield was approximately 13% on our life science loans and this excludes the addition of potential success fees and warrants. While we expect valuations in the life sciences market to stabilize this year, we continue to see several new opportunities that we believe will meet our underwriting criteria. Given SLRC's ability to allocate capital to the best risk-reward opportunities, we have the luxury of being highly selective in our capital deployment towards life sciences while still generating positive originations for the company overall.   Lastly, I want to touch on the company's investment in SSLP. SSLP was a strategic initiative, which we put in place at the end of 2022 following the merger with SLR Senior Investment Corp. This was done to rotate some lower-yielding cash flow loans from Sun's portfolio. Six quarters after launching the initiative, we are pleased with the ramp of the portfolio and the income that has delivered thus far. In the first quarter, SLRC earned $1.6 million from the SSLP program, representing a 13.6% annualized yield. This compares to earnings of $1.1 million last quarter or an annualized yield of 10.3%. As of quarter end, investment commitments at the SSLP totaled $238 million. And post quarter end, we have invested an additional $6 million in the SSLP, bringing our total commitments to $244 million. Now let me turn the call back to Mike. 
Michael Gross: Thank you, Bruce. In conclusion, we are pleased with the results achieved at SLRC in the first quarter of 2024. The continued momentum we are seeing across the lending verticals and the credit quality and diversity of our investment portfolio. Asset quality remains top of mind for investors today with tight risk premium priced across risk assets. From our seat, we have started to see the dispersion in credit quality metrics within the private credit marketplace and believe our history of conservatism and predominantly first lien investment portfolio with significant diversification has begun to differentiate our performance. As of March 31, nonaccrual investments represented 0.8% and 0.6% of the investment portfolio on a cost and fair value basis, respectively. We believe our low rate of nonaccruals as a result of a multi-strategy approach, which are specialty finance strategies, which accounted for 75% of our comprehensive portfolio at March 31, enable us to be more selective in our sponsor finance business. Furthermore, only 1.8% of our gross investment income is in the form of capitalized PIK on restructured cash flow loans, which we believe is also significantly below the peer group.   Looking forward, we expect the origination opportunities to be driven by a combination of an increase in M&A activity, refinancings and regulatory forces impacting regional banks to the benefit of direct lenders such as SLRC. In addition, our specialty finance teams continue to seek tuck-in acquisition opportunities and have the resources and experience to acquire portfolios. We continue to believe that a diversified portfolio approach across sponsor and commercial enhanced assets is the most effective way to generate income and manage risk across economic cycles. While the current market expectations are for rates to stay higher for longer, it is important to remember that specialty finance spreads and returns are not as volatile as cash flow sponsor finance investments. As a result, we would not expect yield contraction for specialty finance assets to the same extent as Sponsor Finance when base rates move lower. In closing, SLRC trades at a 10.5% dividend yield as of yesterday's market close, which we believe presents an attractive investment for both income-seeking and value investors and offer shareholders diversification benefits compared to sponsor finance only strategies. Our investment buyers as alignment of interest to SLRC shareholders continues to be one of our hallmark principles. The SLR team owns over 8% of the company's stock and includes having a significant percentage of their annual incentive compensation reinvested in SLRC stock. The team's investment alongside fellow institutional and private wealth investors demonstrates our confidence in the company's portfolio, stable funding and earnings outlook. We thank you all again for your time today. As we know, it's an especially busy day for those who have followed the listed BDC Marketplace closely. Operator, would you please open up the line for questions. 
Operator: [Operator Insrtuctions] And we will take our first question from Eric Zwick with Hovde Group. 
Erik Zwick: I wanted to start a little bit in terms of maybe just getting your view of competition in both the ABL and equipment finance markets. And I know you kind of mentioned in your prepared comments that there were a couple of new entrants that you've seen in the ABL market. So wondering if you could additionally kind of mention what type of companies those are that are entering the market and how you see that, that may impact pricing and underwriting terms. 
Bruce Spohler: Yes, I think the most important thing that we can share with you, Eric, is that the magnitude of participants departing far exceeds any new entrants. These were, as we've talked about, historically, regional banks were very active in these markets, and they have been continuing to pull back or reaching out, looking for ways to joint venture in their business model such that we would become their balance sheet and they would retain relationships and deposits. So we're really not that concerned about new entrants. The competition, it's difficult to enter these businesses, particularly on ABL related businesses because a significant investment in infrastructure. As you know, we have 18 offices around the country as well as a major investment in systems and people. We have 300 people across our $13 billion AUM platform, many of whom are dedicated to the ABL intensive strategies for monitoring underlying collateral and borrowing bases. So it's not to say that there is no competition, but I would say directionally, there has been a reduction in competition. And where we are in the economic cycle is such that borrowers tend to borrow more on an ABL basis at this stage of the cycle as many borrowers are finding the cash flow market close to them if they are not in very recession resilient sectors. 
Erik Zwick: No, that's very helpful. I appreciate that, and it's good to hear that the kind of the way you frame that, that there's been many more exits than new entrants. And we've heard a lot over the past few days with companies reporting that there's been a fair amount of spread compression in the sponsor finance market. So it's safe to say you're not seeing that a whole lot in the specialty finance lending verticals to the same degree? 
Bruce Spohler: Yes. And as Michael mentioned, our overall yield went up from 11.6% to 11.8% quarter-over-quarter. And that is driven by increased actually returns on the ABL asset classes. There is a cap to that. But I think the important point is that we don't see the compression to your specific question. These are more absolute return cost of capital strategies. And so they did not widen out as much as cash flow did over the last 2 years, going from 6%, 7% up to 12%, 13%. And we have not and don't expect to see them compressed to the same extent that we've run correlation analyses and the specialty finance businesses, unlike the cash flow business is really not correlated to movement in base rates in a meaningful way the way the sponsor cash flow business is. And as you know, we already even with elevated base rates, are seeing pricing compression just because of the amount of capital coming into the cash flow market relative to the deal opportunity set. 
Operator: [Operator Instructions] We will pause a moment to allow any further questions. We'll take our next question from Melissa Wedel with JPMorgan. 
Melissa Wedel: Just one for you today. I was hoping that you might elaborate a little bit on your comment about having the willingness and availability of capital to do additional tuck-ins. Obviously, you guys have diversified your strategy and your origination approach over the years. When you look at that portfolio in totality, where are you seeing the potential for additional tuck-ins? Would it be within the same verticals that you have existing now? Or are there other opportunities out there? 
Bruce Spohler: Yes, it would be in the same verticals, predominantly across the asset-based strategies. I think anything we would do as an adjacent vertical would more likely be a greenfield organic approach to that side of the market. But the tuck-in opportunities are definitely coming out of our existing ABL strategies. 
Michael Gross: And it allows us to take advantage of the significant invest we've made in infrastructure at those companies. As you know, we have close to 300 people. A lot of them spread through the ABL strategy. So we're in a position where we can buy portfolios and service them without having to put much more overhead into those entities. 
Operator: [Operator Instructions] And there appears to be no further questions at this time. I will turn the call back over to Michael Gross for any closing comments. 
Michael Gross: No closing comments other than thank you for your attendance this morning, and we realize it is a very busy time. So if you have any follow-up questions, please feel free to reach out to any of us. Thank you. 
Operator: Thank you. This does conclude today's program. Thank you for your participation. You may disconnect at any time.